Operator: Good day, ladies and gentlemen and welcome to the second quarter 2009 Mettler-Toledo international earnings conference call. My name is Abigail and I will be your audio coordinator for today. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will a question-and-answer session. (Operator Instructions) I would now like to turn the call over to your hostess for today’s call, Ms. Marry Finnegan. Please proceed ma’am.
Marry Finnegan: Thanks, Abigail and good evening everyone. I’m Mary Finnegan, Treasurer and responsible for Investor Relations at Mettler-Toledo, and I’m happy to welcome you to the call. I am joined by Olivier Filliol, our CEO; and Bill Donnelly, our Chief Financial Officer. I want to cover some administrative matters. First, the call is being webcast and is available for replay on our website at www.mt.com. A copy of the press release and the presentation that we refer to on today’s call is also available on our website. Let me summarize the Safe Harbor language, which is outlined on page one of the presentation. Statements in this presentation, which are not historical facts, constitute forward-looking statements within the meaning of the U.S. Securities Act of 1933 and the U.S. Securities Exchange Act of 1934. These statements involve risks, uncertainties and other factors that may cause our actual results, levels of activity, performance or achievements to be materially different from those expressed or implied by any forward-looking statements. For a discussion of these risks and uncertainties, please see the discussion in our recent Form 8-K. All of the forward-looking statements are qualified in their entirety by reference to the factors discussed under the caption “Factors Affecting Our Future Operating Results” and in the “Business” and “Management’s Discussion and Analysis of Financial Condition and Results of Operation” section of our Form 10-K. One other item, on today’s call we may use non-GAAP financial measures. More detailed information with respect to the use of and differences between the non-GAAP financial measure and the most directly comparable GAAP measure is provided in the press release. I will now turn the call over to Olivier.
Olivier Filliol: Thank you, Mary. Good evening and welcome to the call. I want you start with highlights of the quarter and then Bill will provide details on our financial results and our updated outlook for 2009. I will then continue with additional comments on the business and update on our cost reduction program and highlight a few of our new product launches. As always we will have time for Q-and-A at the end. On page two of the presentation, the highlights of the call are summarized. Market conditions remained very challenging. There are some initial signs that the downturn in the global economy maybe slowing. However given that our business tends to be more late cycle we have not seen it yet. At the same time we believe we are balancing along the bottom. As we expected, due to the extraordinary second quarter of last year, our local currency sales declines accelerated from the first quarter. We experienced local currency sales decline of 14% in the quarter. However, the two year growth rate remains about the same as the last quarter and we expect a similar number next quarter. We are pleased that our operating profit and EPS exceeded our expectations, due to strong execution on our cost reduction program and benefits from pricing and improved material costs. Specifically, operating profit reached $61.7 million while adjusted EPS amounted to $1.17. Finally we had good cash flow generation in the quarter. With our strong Q2 results, we have again increased our full year guidance. Bill will provide some more details on this as well as on our results for the second quarter and I will then have some additional comments. Bill.
Bill Donnelly: Thanks Olivier and hello everybody. Let me start with additional details on sales, which are outlined on slide number three of the presentation. Sales were $407.4 million in the quarter a decrease of 14% in local currency. On you U.S. dollar bases sales declined by 21% in the quarter as the result of negative currency of 7%. Breaking down local currency sales by geographic destinations, in the quarter we had an 18% local currency decline in Europe, while sales declined 15% in the Americas and 6% 6% in Asia, rest of the world. For the six months, we had local currency sales declines of 14 in Europe, 13 in the Americas and three in the Asia rest of world. By product area in the quarter, laboratory sales declined by 11%, industrial sales decreased by 16% and food retailing declined by 26%, due impart to a strong project activity in the prior year period, specifically retail group by 16% in the year ago quarter. For the six months, lab was down 10%, industrial was down 12% and food retailing declined 17 %. Turning now to slide number four, let me cover the rest of the P&L. Gross margins were 50.6% in the quarter, a 40 basis points improvement versus the prior year. The impact of the drop in volume was largely offset by our cost reduction program and overall favorable mix, but in particular the benefits of our pricing initiative, as well as lower raw materials cost. We’re obviously quite pleased with that number. R&D amounted to $22.1 million or 5.4 % of sales, compared to $26.7 million or 5.2% of sales last year. This represents a 12% declined in local currency, which reflects the timing of projects as low as our reductions in an external company spend. We saw the benefit of our cost control measures especially in the SG&A line, which was $122.5 million, a decrease of 16% in local currency. The reduction reflects our cost reduction efforts as well as lower variable compensation. Adjusted operating income amounted to $61.7 million, as compared to $75.2 million a year ago, a decline of 18% versus the prior year. Continuing down the rest of the P&L amortization expense was $2.8 million in the quarter, interest expense was $6.8 million, which included a non-recurring charge of $1.8 million associated with the tender of our bond as well as some other related financing costs. This amount has been excluded from adjusted EPS. I will have some additional comments on the bond tender and our debt structure in moment. Fully diluted shares for the quarter were $34.2 million. Our tax rate in the quarter remained at 27% versus 26% in the prior year. You will also notice during the quarter that we incurred a restructuring charge amounting to $0.30 per share related to our cost reduction program. We expect to spend $40 million on the program in total of which about $29 million has been incurred todate. We also had a non-recurring charges of $0.04 related to our bond tender. We have excluded these amounts from adjusted EPS. Finally, adjusted EPS was $1.17, a 16% decline from the prior year amount of $1.40. Our cost reduction efforts helped to mitigate the impact on EPS from significant decline in our sales volume. Let me turn now to cash flow. Free cash flow in the quarter was $72.4 million, as compared to $63.7 million in the previous year. Working capital remained steady. DSO was at 44 days, while ITO is at 5.1 times. We’ve been implementing a number of programs to improve work the capital efficiency, we are quite pleased with our progress today. That covers the quarter and now I want to cover a couple of items related to a debt structures. During the quarter we diversified our debt structure. We tendered for our outstanding bonds during 2010 and received 50% or 75 million of them and we’re pleased with the results. We have also issued a $100 million, six year private placement at 6.3%. With these actions combined with $950 million bank facilities, which matures in 2013, our debt structure is solidly positioned. Now let’s turn to guidance. Based on our current assessment of the market, we have updated our outlook for 2009. I mentioned this on the last couple of calls, but it’s worth repeating that the current uncertainty in the global economy makes forecasting very difficult. Based on the first six months results, we’ve narrowed our full year sales guidance range to negative 10% to negative 12%. Previously the range was negative 8% to negative 12%. However, we have increased our expected adjusted EPS to the range of 492 to 542 per share. This compares to previous guidance for adjusted EPS of $4.85 to $5.35. Finally; just a reminder, adjusted EPS excludes purchase and tangible amortization, restructuring charges and other one time items. With respect to guidance for Q3, the third quarter of last year was very strong with local currency sales growth of 10%. Given this backdrop, we expect local currency sales growth to be in the range of negative 13% to negative 15% for the quarter, this would give us a two year growth rate about the same as what we’ve experienced year-to-date and we expect adjusted EPS to be in the range of $1.13 to a $1.17. That’s it for my side for now. I’d link to turn the call back over to Olivier.
Olivier Filliol: Thanks, Bill. I will start with some comments on the second quarter business results, update you on the status of our cost reduction program and provide information on some recent product launches. Beginning with lab; lab was down in the quarter, against a strong sales growth one year ago, but product line, pipettes are holding up due to their much higher consumable stream. Automated chemistry, despite additional is serving the pharma market is doing well. We are seeing the pay back on significant marketing investment, such as sales boost of programs, which are aimed at identifying pockets of growth. Similar to the first quarter, the weakness we are seeing in lab is in balances and analytical instruments, some of which is due to tough comparisons, but also due to softened end markets. Turning now to industrial, as expected our core industrial business weakened further during the quarter due to reduced manufacturing output in all regions. Product inspection was down in the quarter against strong comparisons from a year ago, although we did have nice growth in Asia. Food retailing was down significantly in the quarter, more than we had expected. Contributing to the decline was the very strong comparison of prior year period and we have also seen a slowing on project approvals. We don’t expect these trends to change in the near future. Service, which accounted for 25% of sales, was clearly better than our product business. We had growth in lab and retail, while industrial service was down reflecting continued reduced capacity utilization on plant closures along our customer base. Finally, let me also comment on sales by region. Starting with Europe which held up nicely for sometime, but it’s now clearly seeing the impact of the economic downturn. Europe weakened further in the quarter, with Germany facing difficult market conditions. Business continues to be very challenging in Eastern Europe and Russia due economic and currency declines. Looking forward, we think it is possible that Germany will continue to weaken, while the U.K. and Southern Europe appear to be bottoming. In the America’s, while we had declines in the most product lines the two year growth trend was similar to what we saw in the first quarter. As America’s was the first region impacted by the slowdown, it appears that we may be bottoming in this region. In Asia, specifically China our lab business was up in the quarter, while core industrial product declines due to reduced export activity. Products inspection showed nice growth as a result of to drive to better food safety. Looking forward we would expect industrial business to pick up later this year with the benefit of the stimulus programs. Those are comments on the second quarter results and an overview of what we expect in the coming quarters. One reminder as we look forward, we will continue to face very difficult comparisons in the third quarter, while comparisons would start to be easier beginning in Q4. You heard from Bill that gross margins are holding up fairly well. We are benefiting from pricing as our annual increases are speaking. Our pricing initiatives, which we have implemented over the last 18 months are yielding good returns, which are particular beneficial given the environment. Finally we’re also benefiting from the reduction in material costs. Our material cost index is actually down nearly 4% to last year. Now, let me update you on the cost reduction program. As we discussed last quarter, the program is targeting annual cost reductions of $100 million and includes a workforce reduction of about 10% or a 1000 positions. At the end of June, we were well on track, if not ahead of schedule with the program. We have substantially complete with the head count reduction. We still have some work to do as evidenced by the amount remaining in our restructuring charge. The final elements of the plan will be completed during the third quarter and the fourth quarters. While these actions are difficult, the implementation has gone well with the minimum disruption. These actions have been taken in a very diligent manner, so the substance of our franchise was not impacted. While cost management is critical in this current phase, we have not lost sight of the longer term picture now and need to grow that business. We continue to invest in the business to reinforce our market position for the long term. In product development, our pipeline remains robust. Let me highlight a few of our most recent product launches. We just launched a new laboratory mid range balance which will be used by a broad customer-based, including pharma, cosmetics companies, food industries, metal, education and all the like industry. The balance is high performance, but also has the robustness needed for this type of environments. It applications include among others, checking for quality control, formulation for easy dosing and piece counting. It is easy to learn; it can be programmed with ultimate shortcuts for prepared applications and can be easily dismantled for cleaning. These futures help to improve the productivity, reduce training cost and improve accuracy file customers. We have also optimized our manufacturing and sourcing strategy to lower production costs for this product. While the weighing senses are made in Switzerland, the housing and other components are made in China. By implementing an assembly hub concept in four worldwide locations, we can ensure fast assembly according to customer specifications and low cost. Another recent laboratory instrument introduction is our new thermal analysis product from melting point. Melting point is one of the most determined physical properties in materials cultivation. It is used in quality control and R&D and its key segments include Pharma and Chemical. For example, in drug formulation all ingredients have to be tested for identity and this been done by determining their melting point. Our new product in corporate is our one click man machine interface that has proven so successfully in our titration line. Individually start measurement programs can be started with a single press of the color touch screen. It is therefore easy to operate and increases productivity by allowing the simultaneous testing of six samples. A digital camera is incorporated into the instrument, which records a high resolution video, so customers can play back the melting process on the instrument. Initial customer feedback has been very strong. One final example from our industrial side is our new terminal for the hazardous production area. We have always been a market leader in the segment, but now we will greatly strengthen our position with the most comprehensive offering in the market. Typical customers include chemical, pharma and petrochemical companies and this is a segment just to coming increasingly important in the emerging markets. The new terminal is a high end solution targeted to hazardous areas, where customers are concerned with the risk of explosions. Our new terminal also offers a unique feature to enable to control of related process accessories such as input and output valve, (inaudible). Further more, the terminal features and extensive range of widely used industrial protocols for communication with high level automation systems; this allows for wider use of applications. The rollout is supported by a comprehensive marketing package, including segment specific brochures, webinars, webcasts and e-learning tools. This launch further solidifies our strategy of strong positions in this demand, but very attractive segments. This is just a sampling of our new product launches as we continue to invest in R&D, to further expand our market leadership during this downturn. Sales and marketing also continues to be an investment area for us as well. We are emphasizing short term campaigns and are increasingly utilizing marketing techniques such as webinars and e-learning tools to increase leads. This covers the topics for today. In closing, while the market is challenging we believe the actions we’re taking will not only allow us to whether this downturn, but will position us very well for the future. Our cost reduction program is well on track and provides to a degree some buffer to the environment. We continue to invest in R&D and sales and marketing, to ensure we continue to expand our market position in this environment. We believe we will emerge from the downturn, a stronger and leaner competitive with greater market share. That concludes our prepared remarks and I would now like to ask the operator to open the line for questions.
Operator: (Operator Instruction) Your first question comes from the line of Chuck Murphy with Sidoti & Company. Your line is open.
Chuck Murphy - Sidoti & Company: Hi guys. I was just wondering if you could give us the currency impact you are expecting for sales in the third quarter and for the year.
Bill Donnelly: Sure. For the third quarter we expect in the area of around 4% and if I look out to Q4, it should be based on today’s rate, actually slightly positive, maybe 3%, which will be about 4% decline for the full year.
Chuck Murphy - Sidoti & Company: Okay, all right. Then just wondering, is there anything new on the acquisition front. I mean are you guys feeling like you might get more aggressive and if so, is there a specific side of the business that you’ll be targeting?
Olivier Filliol: Yes, our general commitment remains there. We are very interested mobile acquisitions. In the past we looked at opportunities, valuations were often not right for us, we continue to look at opportunities, we have things that we are looking at and I would hope that some of them can materialize. Again, I want to stress the point; it’s mobile acquisitions and we care very much if the strategic fit is good and if the financial valuations are right we are going to do that.
Chuck Murphy - Sidoti & Company: Okay. My last question was, have you guys seen any benefit at all yet from stimulus and are you expecting anything anytime soon?
Olivier FIlliol: Okay, there are two regions that have significant stimulus package that impact us. Let me start with China, which has certainly the most ambitious stimulus package programs. We are very actively tracking all these opportunities. I was just talking to Chinese team last week, they gave me an update and they are right now tracking about 2700 tentative opportunities for us. Some of them of have already materialized. We saw some impact in Q2, but the majority of it will certainly rather come late in this year and we definitely expect an impact. It’s particular industrial business in China, but also in the lab we see some good funding of research activities. The other region that we benefit in is the U.S. We clearly see that the funding of research activities will also help us, but certainly not in the same amount as we see in China and this will take a little more time. We have not seen yet too much of benefits. I would expect that it is coming more in Q4, but I wouldn’t want to overstate the impact for us from the U.S. stimulus package.
Chuck Murphy - Sidoti & Company: Great, thank you.
Operator: Your next question comes from the line of Tycho Peterson with JP Morgan. Your line is opened.
Tycho Peterson - JP Morgan : A question I guess just initially here on the cost reductions and I appreciate the additional color you provided. The remaining $11 million that’s left under the current program, can you give us a sense of what that’s going to entail. I mean it sounds like you’re done with the headcount component. So is there other additional kind of sourcing costs to work at or is it a footprint issue, what is the focus?
Olivier Filliol: The bigger piece of it is people related, particularly in countries where the discussions go through a certain legal process and there is notification periods and things like that and those tend to be some of our expensive countries, but there are some components like remaining lease periods for facilities exited and things like that. Right now we probably can do a little bit better than that $40 million number, but there might be one or two new ideas we have as well, but the majority of it is people related.
Tycho Peterson - JP Morgan : Then the question on R&D strategy, I guess you saw R&D down about 12% I think quarter, when do you expect to kind of start to dial that back up and can you give us a sense as to whether there’s going to be any kind of a broader shift and any kind of emerging areas that you’re going to be focused on in terms of the R&D strategy?
Olivier Filliol: The fact that R&D came down to a certain degree, it has also to do with the product launch pipeline, it’s not always the same in every quarter, but certainly also the general focus on cost measures had also an impact on R&D. We had diligent reviews of all the third party expenses that we had in R&D. That had some impact and of course we had also selective head count reductions in R&D. We did not cut back on specific projects. We did not cut back in the general product launch pipeline or product development pipeline. So, I definitely expect those to continue our current R&D approaches and our R&D strategy. In terms of making additional selective investments and going forward allocating the growth that we would have in R&D resources, it would go typically to the businesses with the higher margins and this is particular also in the laboratory area, product inspection and to a lesser degree also process analytics.
Bill Donnelly: Maybe a couple of things to add to what Olivier said. I think it will continue a stem of the segment impact. Our segment marketing programs also drive product development decisions and as you’ve been seeing in recent years, we’ll continue this team of developing more and more segment specific products and we think that’s a good growth opportunities. Then I also wanted to provide some additional context on just the cost number. Because of the global nature of our business, we have a lot of R&D projects that might have guys from China, the United States and Switzerland all working on them, and one other thing that we’ve try to do is just reduce the amount of travel within the R&D budgets, as well to try to get these guys pushing them on new technologies, videoconferences, things like that and using some of the electronic means in terms of the engineering systems. We think that is a good improvement and a sustainable improvement in terms of our R&D productivity.
Tycho Peterson - JP Morgan : Okay, that’s helpful and then just maybe one last clarification. I think Olivier in your comments you said industrial may pick up later this year as a result of stimulus. I wasn’t sure if that was directly commenting on Asia and either way, can you give us a sense is to what your view is of the industrial segment for the back half of this year and into next year?
Olivier Filliol: Yes, okay. This comment about the stimulus package was very much targeted to China, that’s where we see the big impact. We don’t have that much of stimulus packages in other Asian countries that were benefiting our business. Bill do you want give us a flavor how we see industrial for China in particular.
Bill Donnelly: I think in general, we think that including into next quarter, the industrial business will continue to be the hardest hit of our business areas. I think, just as a remainder, China industrial I believe in Q3 last year grew something like 35% and so it will still be a tough comparison for our Chinese business. As Olivier said, we continue to see more and more of these projects coming in the pipeline and I think you’ll start to see probably improving numbers in China coming in the fourth quarter, but overall we think the comparison start to get easier, to a certain extent in the fourth quarter at least with regard to the U.S., but more so next year.
Tycho Peterson - JP Morgan : Okay. That’s helpful. Thank you very much.
Operator: Your next question comes from the line of Jon Groberg with Macquarie. Your line is open.
Jon Groberg - Macquarie: Good afternoon, thanks a million for taking the call.
Bill Donnelly: Hi, Jon.
Jon Groberg - Macquarie:
Olivier Filliol: Yes, of course. So let’s quickly go to the businesses that we have. Lab business did very well for us, as we had already Q1 that did well, Q2 did again grow double-digit. So we are actually very happy. We feel that we are gaining market share and this is not just because the market is giving good growth opportunity, actually our team is really doing a great job and we have done strategic investments in the last few years that certainly pays off also for us. A similar story for products inspection; the general awareness of food safety is very high in China, and we see that this benefits our business, but we have also done important investments in product inspection down in China and we will do actually more so in the coming months and quarters, so these two businesses did well. When I look at the industrial business, we had quite significant declines, but again it’s very difficult previous quarters and we are suffering from a fact that for a few months holding for infrastructure investments were down and this is now coming back. Then the other impact that we clearly see is, the export business and the multi-nationals investments in China is weak. But going forward, we see a lot of government money going into infrastructure and state owned companies and that’s actually the parts that is driving growth for us. I clearly expect as to comeback on this and then benefit from the overall economic growth and GDP growth that China offers.
Jon Groberg - Macquarie: That was going to just be kind of my question: you’re seeing these numbers that they are putting up in the stimulus, but are: they’re favoring local competitors over you and is that one reason why potentially you’re not growing as fast. Is any of that in the stimulus?
Bill Donnelly: No, it is a little bit a topic, but when I talk to our management team it’s not that we feel discriminated, because of that. We act actually very much as a local company also in China and our solution of their wealth is differentiated and so in that sense, I don’t think that’s an explanation.
Olivier Filliol: Yes, I would also say that we should distinguish a little bit too. A lot of numbers coming out of China are GDP driven and sometimes the manufacturing GDP numbers, particularly that relate to our sector maybe a bit of laggard and I think the most common example is, we benefit from Greenfield sites in historically in China the last few years. Multinational coming in, building a chemical plan, putting up a food or Pharma plant, and wanting to use the same kind of equipment they use in the West. There’s just lots of that going on right now. We think of course that that investment will comeback, but in the sectors we’re most focused on, I think we’re not what’s driving a lot of that GDP growth you’re seeing in China, but that will come.
Jon Groberg - Macquarie: Okay and then, so you did a great job talking about kind of the products and maybe geographies. Can you touch about customers for example within in lab right, you have Pharma, you have more kind of academic and then you have more even kind of industrial within lab. So can you maybe just talk about some markets what you’re seeing?
Olivier Filliol: Yes, okay. So Pharma in general, clearly held up better than all the order industry sectors, but of course also challenging. Then academia did particularly well, however it’s not such a big share of our mix. The parts that we had really a tough time is the industrial customers. For lab business this goes in many different industrial sectors and just name one for somebody that remains very difficulties, it’s the chemical industry. So about 50 % of lab revenue comes from industrial customers and that’s the part that drove actually the decline.
Jon Groberg - Macquarie: Great, thanks. Then can you, last question here just kind of here on the end markets. Can you maybe describe, how you’re thinking about maybe some of the industrial markets when they do come back for example, you have process and yes, maybe you have facilities that you said have been shutdown or furloughed, where service revenues are down, but presumably you have instruments that are sitting. So when things do come back from a manufacturing. Is the industrials growth still going to be muted and 2010 in your view or just maybe kind of how you are a thinking about, when there is a recovery how that plays on?
Olivier Filliol: The big question ism how fast our customers will increase their capacity? If they rapidly increase their capacity, of course we’re going to benefit. One of our major challenges that we have for our industrial customers, is that they have reduced working days, they have reduced the number of production lines that they are running, sometimes they’ve even closed plants. If they buildup again capacity, this will drive growth, and this will drive upgrades, and this will drive also our service business. So that’s the crystal ball; how fast will this industrial base buildup again the capacity.
Jon Groberg - Macquarie: So it’s fair to say that it’s just a function of capacity utilization coming on, but not a new capacity; that could still remain a more challenging environment for some of your industrial businesses?
Olivier Filliol: Yes, that’s fair. Especially because, even in the last few years, particularly in the Western countries, we were very much dependent on upgrades, replacements and to a much lesser degree, benefited from new Greenfield plants. When it comes to emerging markets, that’s a little bit of a different story. I think Bill Gates, a little bit of flavor before. Like in China, we did benefit in the past from many new Greenfield plants. I think that will take a little bit more time that we see new Greenfield plants coming back.
Jon Groberg - Macquarie: Okay, that’s great and then just last question. I noticed you didn’t buyback any shares, what’s kind of your plan on the buyback for the rest of the year? Thanks.
Bill Donnelly: Sure. We did not buyback shares during the quarter. We felt like we did a couple of things with regard to the tendering the bond and the issuance of the new facility. We also did some things in terms of locking up some of our interest rate exposures. I think we’ve put a lot of the ingredients in place. I think that’s something we’re clearly looking at. We’re not quite ready yet to initiate, but I think you’ll see us in the coming quarters certainly looking at restarting the program.
Operator: Your next question comes from John Wood with Bank of America/Merrill Lynch. Your line is open.
John Wood - Bank of America/Merrill Lynch: Hey, good afternoon.
Bill Donnelly: Hi, John.
John Wood - Bank of America/Merrill Lynch: Hey, so Bill, the cash flow is still around $200 million for the year, is that in the right ballpark?
Bill Donnelly: We gave a guidance of a lower number. I think on the last quarter, it was in the range of $150 million and I think we’ll clearly exceed that numbers based on how we did the second quarter, but I think $200 million would probably be at the high end. Just to make sure we’re talking the same definition, I’m talking about free cash flow, so after working capital, after CapEx etc.
John Wood - Bank of America/Merrill Lynch: Yes, I was talking operating, so CapEx still like $50 million?
Bill Donnelly: Yes, that’s about right. Yes.
John Wood - Bank of America/Merrill Lynch: Okay and you think you can get better than $150 million at this point?
Bill Donnelly: We’ll do better than $150 million of free cash flow this year, yes.
John Wood - Bank of America/Merrill Lynch: Okay. So can you give us a sense monthly, how the order book trended April, May and June?
Olivier Filliol: Yes, okay. So, April was the weakest, because of working day difference, but when we look at across the whole quarter and we feel like we’re bouncing off along the bottom and so we haven’t seeing much differences in the momentum of end market.
Bill Donnelly: Yes, and even the entry to this quarter, this bouncing around, the two year growth rate staying in this kind of range seems to be the trend.
John Wood - Bank of America/Merrill Lynch: So Bill, if I look at third quarter, two year growth rate at the midpoints like down four or so, it’s a little worse than the second quarter. Is that just a function of like the Germany comments you offered; basically Western Europe?
Bill Donnelly: Hey, I wouldn’t read too much into it, because much maybe a little bit around on both sides too. Yes, I don’t mean the two year growth rate to be so precise. I think whether it’s three or four or two, these are all numbers that are in the range.
John Wood - Bank of America/Merrill Lynch: Okay and then can you give us a sense of FX? What impact did that have on the gross margin?
Bill Donnelly: It was around 50 bips improvement, but I mean if you kind of go down to the pieces clearly the volume impact of us not having a 14% decline more than offset that. To give you a feeling, as Olivier mentioned our raw material costs were down more than 4% in the quarter and our pricing is up in this mid 100’s range that we’ve talked about in the past. So we’re really pleased with how the overall gross profit level is coming in. It’s being somewhat of course masked by the volume effects, but we are pleased with the margins overall.
John Wood - Bank of America/Merrill Lynch: So basically it was flat year-over-year without the currency, despite the volume decline, the gross margin?
Bill Donnelly: Yes, that’s a fair assessment.
John Wood - Bank of America/Merrill Lynch: So for the full year, do margins stay at this kind of level the first half, somewhere around 50.5% or do they deteriorate as a result of the currency situation?
Bill Donnelly: Even with building some of that currency, I think you’ll see for the full year, it will be ahead, but if I look out to Q4, there could be some because the currencies will go the other way, there could be some of this impact of that diluting a little bit the margin in the fourth quarter, but I think it’ll probably be flattish.
John Wood - Bank of America/Merrill Lynch: Okay and so what would you estimate, sort of the 100 million bucks, say like 25 on a quarterly basis, what proportion was reflected in the second quarter P&L?
Bill Donnelly: A number in the low 20s.
John Wood - Bank of America/Merrill Lynch: Okay, so the third quarter will have the full benefit of that?
Bill Donnelly: There is a couple of things that will take place in the fourth quarter, but I mean yes we’d be very close to the target at that point.
John Wood - Bank of America/Merrill Lynch: Okay, alright. Thanks a lot.
Bill Donnelly: Sure.
Operator: Your next question comes from the line of Peter Lawson with Thomas Weisel Partners. Your line is open.
Peter Lawson - Thomas Weisel Partners: I wonder if you could just talk to a couple of points on the guidance and how should we think about the declines in lab, industrial and food business for the rest of the year?
Bill Donnelly: Sure, maybe kind of some overall comment. So if you think about Q3, we’re kind of looking at this same two year growth rate about that we’ve had on a year to-date basis. Q4, I think that many companies at this point will be, so it’s a little bit more guess work with regard to Q4. As you guys know in this industry there’s tended to be many customers who did budget flushing in the fourth quarter and the fourth quarter was always the highest quarter in terms of the percentage of sales coming from product versus service. So, it’ll be interesting to see how they play back. We’ve been a little bit cautious on that fourth quarter number in the guidance we provided and I think we’ll know better the next time we talk to you guys, at the end of the next quarter. Now in terms of, let me start maybe with kind of a little bit on the product side. If I look at the lab number, I think we’ll probably see a number in the third-quarter, similar to what we saw in the fourth, but certainly because of easier comparisons, a much better number in the fourth quarter, but likely still a decline. Then on the industrial side, again we’ll see something similar, frankly maybe a little bit worse, because I’m somewhat worried about that comparison in China, as well as maybe this impact of more of the Germany business and again same as and I’ll say this every time, the fourth quarter will be better because of comparisons. Food retailing will do better in the third quarter than it did in the fourth and that’s largely a comparison statement. Now if you look at it geographically, I think that the numbers should be within the same margins about that we saw in this past quarter. If we have an area for upside surprise, it’s likely it could be that may be the China number turns out a little bit better and if we have an area of downside surprise, it’s probably on the European side, but I feel pretty good about that, not that range overall. In terms of a kind of customer segments, I think that we have no reason to really comment much differently than we have to-date. I didn’t see anything that started out in the month of July that would make me feel different about Pharma, different about biotech, different about food than what Olivier commented on earlier.
Peter Lawson - Thomas Weisel Partners: The tight EPS guidance you have for 3Q versus this really wide range for the full year or 4Q, is that related to that mix issue that you talked about?
Bill Donnelly: Actually, it means if you also run the numbers Peter, there’s really a quite a range for sales growth in Q4 within that EPS range and I go back to the statement that I think we’ll feel smarter about Q4 in three quarters. I’m not ready yet to just take that two year growth rate that’s been a reasonable parameter in the first two quarters of the year and my forecasting would say it’ll be a reasonable parameter again in the third quarter. I think because of this budget flushing effect, I don’t want to just do that yet for the fourth quarter. If that works out that way, we’ll certainly be more at the higher end of the range if the two year growth rate continues, but I think it’s a little premature at this point to point in that direction.
Peter Lawson - Thomas Weisel Partners: Then just on this kind of potential inflection end point for the industrial business, what gives you the confidence that’s coming and what should we be looking for to see that?
Bill Donnelly: Just the way in which you worded your question, maybe made us look at each other and think we hadn’t quite worded things appropriately. I think we’re not sitting here looking for an inflection. We don’t see an immediate inflection point. We see easier comparisons coming in industrial and we see the fact that there is a China stimulus program that will have the meaningful impact on our industrial business in China. So China could be the one place where we see more of this recovery. Kind of stepping back and looking at our industrial business in the West, I want to just maybe reiterate one point that Olivier made earlier and that’s this idea that our western industrial business is largely a replacement business and because it’s largely a replacement business, the nature of industrial products are that they wear out. We don’t expect any kind of significant decline next year in our industrial business. We kind of feel this. We’re getting down to a certain level here, things will bounce around and they’ll pickup when GDP manufacturing, GDP starts picking up sometimes in 2010.
Peter Lawson - Thomas Weisel Partners: Okay, thank you so much.
Bill Donnelly: Sure.
Operator: Your next question comes from Peter McDonald with Wall Street Access. Your line is open.
Peter McDonald - Wall Street Access: Thanks a lot. Most of my questions have been answered, but just what’s the level of core activity that you are seeing and can you talk through what you’re seeing in the lab specifically?
Olivier Filliol: Lead generation and quote activity in general have been good. Our challenge has much more been that the conversion rates have been challenging and the time between quote and closure. We haven’t seen that particular change in the last few months. It of course got really worse in Q4 and early in the year, but we are kind of at similar ratios as we were in at the end of Q1 and Q2 continues and early indicators of Q3 remain the same.
Peter McDonald - Wall Street Access: Then in terms of your R&D spend, are you focusing mostly on productivity enhancements or are you changing, moving, sifting your focus from say higher end instruments to a mid range or a lower price point given kind of the competitive landscape and the market pressures?
Olivier Filliol: I wouldn’t say that it has an immediate impact on our R&D approaches; it has more impact on our marketing messages, and how our sales force operates and how we train our sales force. Value selling clear becomes more important. We equip our sales force with return on investment calculators that they can use with customers, and in that sense I can confirm that value selling becomes more important. We do not see a general trend that people would go for lower cost solutions, so I think it’s much more up to us to highlight the differentiating factors and that our solutions have good payback. We want to support our customers to get the investment approvals from the purchasing department and the finance group.
Peter McDonald - Wall Street Access: So, getting it across the finish line basically?
Olivier Filliol: Yes, exactly.
Peter McDonald - Wall Street Access: Okay, thanks a lot. Good execution.
Olivier Filliol: Yes, okay. Thanks Peter.
Operator: Your next question comes from the line of Derik De Bruin with UBS. Your line is open.
Derik De Bruin – UBS: As FX swings back to get positive, how that’s going to impact the SG&A line. I guess with some of the cost cuts you’re going to take in, are they going to be offset when you hit headwind, because if I remember correctly, back when we gave 3Q guidance, the FX certainly had a dramatic impact on lowering your SG&A expense before you guys went to really dramatic cost cutting mode. Can you just walk us through how you see that impact again?
Bill Donnelly: Hey, let me start with the like what’ll drive operating profit, the impact and then I’ll come back, and then cosmetically might look because of the currency. So as a starting point, we are very well hedged in terms of our earnings. We have a bit of a headwind right now. I think we might have had a couple of million headwind in the quarter. So $0.05 or something like that and that Swiss frank versus euro driven. When we go out and in the fourth quarter when the currency starts to change, you’ll see our sales in reported dollars will go up an extra; if you use today’s numbers an extra 3%, and so will our SG&A, but the local currency numbers you’ll continue to see kind of this new level, these sustainable cost cuttings we’ve done won’t be impacted by currency in terms of how they grab profitability. So, the fourth quarter will make sales look a little stronger; it might dilute the gross margin line a little bit. SG&A will look a slightly higher number, but the impact on operating profit should be diminimus.
Derik De Bruin – UBS: That’s incredibly helpful, thank you and just because I’m lazy, what’s the interest expense impact of the new debt structure?
Bill Donnelly: I’m lazy too and looking over at Mary. In the third quarter it’s going to go up about $600,000 to $800,000.
Derik De Bruin – UBS: Great, I think most of my questions have been answered. So thanks.
Operator: (Operator Instructions) Your next question comes from Richard Eastman with Robert Baird. Your line is open.
Richard Eastman – Robert Baird: A quick question; is the weakness in Europe that surprised you in the quarter, is it tied all to the retail weakness that surprised you in the quarter?
Olivier Filliol: Mostly. Actually retail came in softer than we expected and it’s particular in Europe, yes.
Richard Eastman – Robert Baird: Okay and can I kind the same conclusion that because Europe is softer. Maybe we are moving from minus 8 to 12 to minus 10 to 12 in local currency for the year, is that primarily Europe impact?
Bill Donnelly: It’s a Europe impact; it’s also just the math of us having come one percentage point below the bottom of the range this quarter.
Richard Eastman – Robert Baird: Okay, all right. Then, Olivier when you talked to the service and consumables piece of your business was that business in local currency up in the quarter.
Olivier Filliol: It was basically flat in the quarter.
Bill Donnelly: As a remainder, there was working day differences in Q2 and it service and consumables of course that are impacted most by that. On a year-to-date basis, its basically those both areas, consumables and service that are flat.
Richard Eastman – Robert Baird: Okay, and then also Bill could just breakout the charges. The pre-tax charge was $13.9 million in the quarter. Would you happen to have that?
Bill Donnelly: I think there is a small piece on the interest expense line related to the bond tender and the rest I think is on the other charges line. Yes, the rest is on the charges line.
Richard Eastman – Robert Baird: Okay, and then in the quarter, could you just size the industrial; on reporter dollars was it 42%, 43% of sales of industrial and that will be help, just two of the pieces.
Bill Donnelly: So, for the quarter lab was 45%, industrial 43% and retail 12%.
Richard Eastman – Robert Baird: Okay, I think that’s it. Thank you.
Operator: As there are no more questions, I will now turn the call back over to management for concluding remarks.
Olivier Filliol: We thank you for joining us this evening. We know how busy you are and appreciate taking the time with us. We will speak to you again at the end of the quarter. Thanks again and goodbye.
Bill Donnelly: Thank you. Bye-bye.
Operator: This concludes your Mettler-Toledo conference call for today. You may now disconnect.